Operator: Good day, everyone, and welcome to the POSaBIT Systems Corporation Third Quarter 2023 Earnings Call. [Operator Instructions] It is now my pleasure to turn the floor over to your host, Oscar Dahl. Sir, the floor is yours.
Oscar Dahl: Thank you, operator. With me on this call are Ryan Hamlin, Chief Executive Officer; and Matthew Fowler, Chief Financial Officer. I would like to begin the call by reading the Safe Harbor statement. This statement is made pursuant to the safe harbor for forward-looking statements described in the Private Securities Litigation Reform Act of 1995. All statements made on this call with the exception of historical facts may be considered forward-looking statements within the meaning of Section 27A of the Securities Act of 1933 and Section 21E of the Securities Exchange Act of 1934. Although the company believes that expectations and assumptions reflected in these forward-looking statements are reasonable, it makes no assurances that such expectations will prove to have been correct. Actual results may differ materially from those expressed or implied in the forward-looking statements due to various risks and uncertainties. For a discussion of such risks and uncertainties, which could cause actual results to differ from those expressed or implied in the forward-looking statements, please see risk factors detailed in the company’s annual report and subsequent filed reports as well as in other reports that the company files from time to time with SEDAR. Any forward-looking statements included in this call are made only at the date of this call. We do not undertake any obligation to update or supplement any forward-looking statements to reflect subsequent knowledge, events or circumstances. The company may also be citing adjusted EBITDA in today’s discussion. Adjusted EBITDA is a non-IFRS measure used by management that does not have any prescribed meaning by IFRS and that may not be comparable to similar measures presented by other companies. The company defines adjusted EBITDA as net income or loss generated for the period as reported before interest, taxes, depreciation and amortization, is further adjusted to remove changes in the fair value, expected credit losses, foreign exchange gains and/or losses and impairments. The company believes this is a useful metric to evaluate its core operating performance. Now I’d like to turn the call over to Ryan Hamlin, Chief Executive Officer. Ryan, please proceed.
Ryan Hamlin: Thanks, Oscar, and welcome, everyone. As a reminder, all the numbers that I’ll be talking about today are in U.S. dollars. I want to actually start off by saying that I’m actually doing this call from my hotel room in Las Vegas. I’m at the annual MJBiz cannabis conference. This is the biggest show each year, and I’m pleased with how well POSaBIT has been received these last couple of days by both current and new merchants. Our point-of-sale 2.0 version that completed its full rollout recently has received much praise and adoption. In fact, we now have over 50% of the entire state of Washington using our point-of-sale. This is a great milestone for our team. I just wanted to start with that. So we’ll jump right into our Q3 financial results. Despite the massive service interruptions across the industry in Q3 and now into Q4, POSaBIT still had a small gain in quarter-over-quarter revenue. I attribute this to the fact we have redundant systems in place and heroic effort from our POSaBIT team members who work long hours to ensure our merchants had minimal disruption. For the quarter, revenue was $13.6 million, up 32% year-over-year versus $10.3 million in Q3 of 2022. Transactional sales for our payment processing merchants increased to $157.9 million, up 11% year-over-year versus $142 million in Q3 of ‘22. Gross profit was $3.2 million. While the level of growth was not what we had anticipated, we are pleased, given the massive disruption within payments in the cannabis industry over these last few months. I’m very happy with how we responded, but also want to remind all of us of how unpredictable this industry has become. Even though our Q3 revenue had mild quarter-over-quarter growth, we were hit about two-thirds of the way through that quarter with the shutdown of the service that we had acquired from Hypur back in April. Fortunately, we were able to minimize this initial outage by migrating most of the merchants to an alternative solution. This outage did affect our Q3, but not as much as it would have without having redundant systems in place. This continues to show how important it is in this payments landscape to continue to build out multiple solutions with full redundancy to ensure minimal disruption to our customers. Now I do want to address quickly the PIN debit update from the early October press release we put out. I know this release caused a bit of confusion with our investors, and I apologize for that, and not being able to provide more details in that release. It’s always our priority to keep our investors aware of any changes that could affect our business. This is even more important, obviously, as a publicly traded company. In the end, our legal team recommends we keep the release short and to the point. We will do our best to continue to update our investors as necessary. On October 11, we did announce a decline in PIN debit acceptance rates. The impact of this decline was felt throughout the cannabis industry and was not in any way isolated to just POSaBIT. Unfortunately, as long as cannabis is still a Schedule I drug at the federal level, there will continue to be a lot of scrutiny and reviews of all payment types in this industry that are not cash-only. We, along with the entire cannabis industry, are hopeful that the government will move forward with descheduling cannabis to help provide a safer environment for consumers to transact. For POSaBIT, since the announcement on October 11, we have returned to 98% acceptance rates on all debit cards and are able to offer our merchants multiple payment solutions they deserve. The work to get our merchants back up and running has been our number 1 focus for the past 6 weeks. I challenged our team when this outage occurred in early October, and our team really rallied around that, working long hours and weekends to ensure our merchants could get back to processing as soon as possible. In fact, I’m really happy to confirm that as of this last holiday weekend, our transactional sales run rate is at nearly 75% of what it was prior to this disruption. The current volume now, coupled with the additional merchants either currently contracted or being onboarded, will put us on track to exceed our pre-October processing volumes by the end of this year. Throughout this process, we have not only focused on supporting current merchants but have used it as an opportunity to approach and sign up new dispensaries who were left behind without a payment solution after the October industry-wide interruption. The implications of this decline in acceptance rates, while painful in the short term, will prove beneficial for the company in the long run. For the last several years, we’ve been talking to all of you about the importance of having multiple payment methods besides just cash. We have been successful in bringing on new solutions that now provide up to 4 different types of payment offerings merchants can choose from. This is a must for this industry to reduce the volatility and create more predictability with our business and keep our customers delighted with our service. In addition to this ability to run multiple payment methods, POSaBIT has developed the ability to govern all of these on a single payment terminal. We heard our merchants loud and clear about having one solution and one partner they can count on for payments, and I’m happy to announce that POSaBIT now has that solution. In early Q1 – early next year, POSaBIT will be releasing the first-ever cannabis payments device capable of processing multiple payments on one device. This will further differentiate POSaBIT as the leading provider of sustainable payments within the cannabis industry. Another key initiative for POSaBIT, in addition to having multiple payment methods, is to be capital independent by being cash flow positive. Even prior to the recent payment interruption, POSaBIT was focused on cost containment to ensure a clear path to profitability. With that in mind, in the first week of October, we actually implemented a series of cost reduction measures aimed at optimizing operations and put the company on a road to profitability in ‘24. The forecasted annual savings from these cost-cutting measures will result in an annual savings of approximately $4 million. This reduction was made up of a small decrease in our employee base, optimizing our partner contracts and a reduction in travel and expenses. When building this cost reduction plan, we took extraordinary care to make sure that our best-in-class service was not adversely affected. Now, nearly 2 months later, we can confirm that POSaBIT service levels remain excellent and the company is operating with efficiency and precision. I also want to take this time to remind our investors of the point-of-sale licensing deal we made over a year ago with a large technology company in the cannabis industry. If you recall, we received the first year’s cash payment last year upfront of approximately $5 million in cash. Starting just 2 months ago, we began receiving a monthly cash payment of nearly $400,000. This increases to approximately $450,000 in the following 12 months and then finally to $513,000 in the fourth and final year. At that point, the licensee will either continue to pay royalties per terminal or buy out the agreement for approximately $32 million. I wanted to bring this up and remind our investors of this very important and predictable infusion of cash on a monthly basis that goes straight to the bottom line for the next 3 years. Having this cash come in monthly, along with the combination of the cost reductions I just mentioned and a return to normal processing levels, we are very confident we will be cash flow independent in ‘24. Getting to profitability has and will continue to be a high-level focus for us as we continue to not only grow but run as a cash flow positive company. Before I turn it over to Matt for our detailed financials, I’m really excited to announce that POSaBIT intends to apply to list common shares on the TSX Venture Exchange. The listing of the common shares on the TSXV remain subject to the final submission by the company of a formal application, the review of the TSXV and the satisfaction of all listing and regulatory requirements. This has been a lengthy process, but we are full steam ahead. This was a major milestone for the company, and especially for you, our investors. We do not believe our current stock price is in any way indicative of POSaBIT’s true value and understand the limitations our current listing has imposed unfortunately on our North American investors. We, of course, will be sharing much more about this after we have the specific dates that we can share positively. Moving to the TSXV is a goal we’ve had for some time, and I’m very happy that we’re close to achieving that. Now I’m going to turn the call over to Matt Fowler, our CFO, for a more detailed review of our financial results for the third quarter ending September 30, 2023.
Matthew Fowler: Thank you, Ryan. Transactional sales through our payments platform were $157.9 million, up 11% compared with $142 million in the third quarter of 2022. Sequentially, transactional sales were down 3% compared to the $162.6 million in the second quarter of 2023. Transactional sales is a non-IFRS measure and one of the key drivers for our business. Total revenue was $13.6 million, up 32% compared to $10.3 million in the third quarter of 2022. Gross profit was $3.2 million or 23% of revenue, up 10% on a dollar basis compared with $2.9 million or 28% of revenue in the third quarter of 2022. The decrease in gross margin percent year-over-year is tied to the change in the products we offered in Q3 2022 versus Q3 2023. Operating expenses were $3.4 million compared to $2.9 million in the prior year’s quarter. The primary driver in the increase in operating expense was hiring that has taken place over the last 12 months and higher professional fees. Sequentially, operating expenses were down 43% to $6 million in the second quarter ended June 30. The decrease in operating expenses sequentially is largely driven by lower non-cash share-based compensation of $482,000 versus $761,000 in Q2, a benefit in non-cash foreign exchange of $249,000 versus a cost of $123,000 in Q2 in a one-time adjustment tied to legal settlements, which resulted in reclassing legal expense of approximately $949,000 from operating expense to other income expense. Administrative expenses were $3.8 million for the quarter. The largest driver of administrative expenses are people costs. These were $3.3 million for the quarter. This compares to $1.8 million in the prior year quarter. The increase year-over-year is driven by hiring in addition of head count from the Hypur acquisition. Regarding the Hypur acquisition, during the quarter, the company recognized an impairment to the intangible assets we recorded from the purchase of Hypur assets. Total impairment recognized was $5,160,000. This was primarily made up of $5,100,000 allocated to a third-party payment processing contract that was acquired as part of the Hypur acquisition and, to a lesser extent, $60,000 tied to technology. The impairment of intangible assets is a result of Hypur’s payment processing terminating its processing activity during the quarter. Once notified, we engaged with the merchants we acquired as part of the Hypur acquisition to work to move them to alternative POSaBIT payment programs. As a reminder, a large portion of value in asset-light mergers is ascribed to intangible assets. Net loss was $7.5 million, inclusive of the impact of $395,000 non-cash change in the fair value of derivative liabilities and a $5.2 million impairment of intangible assets tied to the Hypur acquisition. This compares to a net loss of $1.2 million, inclusive of the impact of a $1 million non-cash change in the fair value of derivative liabilities for the third quarter of 2022. The mark-to-market of embedded derivative liabilities as tied to our convertible debt is the non-cash accounting instrument required by IFRS. It can cause significant differences in net income or loss quarter-to-quarter. Fluctuations in this line item of our income statement may be more extreme during currently increased volatility in company’s stocks. Adjusted EBITDA was a loss of $33,000 or negative 0.2% of revenue compared to an adjusted EBITDA loss of $2.2 million or negative 16% of revenue in the third quarter of 2022. Our adjusted EBITDA was influenced by the legal settlement. If we were to exclude the impact of legal settlement, our adjusted EBITDA loss for the period would have been $2.2 million or 17% of revenue. Cash on hand at the end of the third quarter was $3.2 million. This compares to $3.1 million at the end of ‘22. Our debt balance remains low at $3.3 million of debt, consisting of SBA loan, convertible notes and a 3-year term loan. With that, I’ll turn the call back to you, Ryan for closing remarks.
Ryan Hamlin: Thanks, Matt. Before we finish up, I want to reiterate the resilience of our company. As you know, cannabis is a challenging industry, but we also look at that as a positive. It’s a barrier to entry and part of our moat. There are things out of our control that can impact our business with little warning. We pride ourselves on being equipped to weather those storms and come out on the other side stronger. This is what we’ve done now for over 8 years, and it’s no different today. POSaBIT has had short-term outages in the past, but that is all they are. Short term. The POSaBIT team has seen it all. We are battle-tested that we will always find a way to fight back through this adversity. We’ve proven it time and time again. It’s this ability to be resilient that does and will continue to set us apart from our competitors. And now I want to end by addressing our guidance for the year. Given the recent disruption in the industry, we are withdrawing our ‘23 guidance. At this stage of the year, our 2023 guidance is, effectively, Q4 guidance. We thought a better data point for our investors would be to share the current run rate and implied financial impact based on the outage we had in October. I also want to stress that given the multiple payment types we now offer and the mix shift of those different payment types by our merchants, it’s a little harder to forecast our top line revenue. Instead, we believe our investors are most interested in gross margin dollars and gross margin dollar growth. If you look at our exit run rate here at the end of November and based on the 75% transactional sales attainment we reached last week, we are tracking a run rate of approximately $11 million in gross margin dollars. And more importantly, given the line of sight of the merchants that are in the pipeline today and the ones that are just waiting to be implemented in the next few weeks before the end of the year, we believe we will achieve 85% to 90% attainment. This would then put us right back to where we were roughly at the midpoint of our gross margin prior guidance, which we gave of $12.5 million to $14.5 million for 2023. Lastly, I want to mention that adversity can also be a catalyst for growth. This industry-wide service interruption affected everyone, including all of our competitors. This has created an opportunity for our sales team to reengage with past merchants that we may have lost to a competitor and also reach out to the entire industry at large to sell our services. In fact, several of the merchants that we have onboarded are now new to POSaBIT. I know this was a lot, and thank you for your time. I appreciate you listening in, and I hope we addressed most of your concerns and especially those that were maybe a little vague from the last press release. If we didn’t, please send an e-mail to investors@posabit.com or feel free to ask your question right now. We’re going to open it up, operator, to any questions that there may be.
Operator: [Operator Instructions] Your first question is coming from James Baglanis.
Unidentified Analyst: Good afternoon.
Ryan Hamlin: Hi, James.
Unidentified Analyst: I just wanted to start by saying great job navigating the disruption because that seems like a pretty scary time. But before we get into that, can we just kind of, big picture, talk about the state of the industry? Are you seeing signs of stabilization broadly within the cannabis market? Because It looks like MSO revenues were kind of stable sequentially and their gross margins are starting to recover. So I just wanted to first kind of talk about that before we get into POSaBIT specific.
Ryan Hamlin: Yes, sure. And it is a good question. I think – you have to layer on that there is been a lot of discussion, particularly in the last 3 to 6 months, about what the government is going to do. Is there a version of safer banking coming? Is descheduling going to actually happen? And I think that kind of unknown left the industry a little bit, I would say, at a pause of trying to figure out, okay, where do we go – and particularly in our space, where do we go as far as like what’s happening in the payments landscape? If you don’t – if you look besides the payment side and you just look at cannabis as a whole, yes, sales for the most part have – we’ve been seeing them lining up pretty much in-line with everything that the MSOs have been reporting, that our sales have started – I think I reported to you last quarter that they had plateaued and now are starting to grow again. So we’re starting to see growth. We’re starting to see a small uptick in the average ticket. Not a ton, but a little bit. And that’s, I guess, good signs that at least the industry is feeling more comfortable about it. But it still is this unfortunate unknown that everybody has around, okay, what’s the next step the government might take?
Unidentified Analyst: Right. Makes sense. And that’s – look, I mean that will work itself out, but just seeing that stabilization, whether it’s per ticket or same-store sales, I think, is a really good starting point for you guys. That’s great. On Q3, can we – can you size what the revenue and payment volume impact was from the Hypur disruptions, because it looks like it kind of would have rolled in and affected those October – the September numbers?
Ryan Hamlin: Yes, yes. So, if you look at the timeline kind of what had happened in this industry, the first was – and it’s one of the things we – when we announced our Hypur acquisition, one of the great things was that we had diversified. We had multiple strong [ph] relationships, which gave us that kind of coverage that we were desiring, one of the reasons that it made Hypur very attractive. Unfortunately, that was one of the first processors that were affected, and that only affected our Hypur business. So, all of our other clients were unaffected by that initial Q3 blip, whatever you want to call it. Fortunately, we were able to move over literally all of that Hypur business to an alternative solution within about 1.5 weeks. So, we had about 1.5 weeks hit to the Hypur. And then I would say – not all of them, there was a handful that still didn’t migrate over. So, the majority though did go. And then soon after that, right there then in early October is when we got kind of the second whammy, I guess so to speak, in that our current business, our non-Hypur business, also had the minor shutdown. So, we kind of were hit with – and I hate saying it, but a bit of a perfect storm, in that. In September, we got hit once with the Hypur acquisition on the processing side of it and then early October, kind of all the rest of our business. So, that’s why we are very aggressive and making sure that we built out the redundant systems. And in some cases, when that Hypur initial one happened, it really – I guess I would like to say I will make a little bit of lemonade here. I mean it was positive in that it forced us to really look for alternatives, and so that when the rest of the impact happened in October, we had already lined up alternatives. So, we weren’t starting from a net zero. So, long answer to your question is it impacted our Q3 by, call it, a couple of weeks. We are able to migrate them over, but then really some of this is – most of it carried into the beginning of October. And then like I announced, it’s great. We are back up and running now, but you are going to see a little bit more effect on Q4 than obviously you did in Q3.
Unidentified Analyst: Yes. Okay. No, I appreciate the long answer because that really helps me understand everything that happened, and I think it’s great, again, that you navigated to get everything in order and kind of respond to this, although obviously, I am sure we all wish it didn’t happen. That’s fantastic. And it sounds like the cost-cutting actions you announced were underway before this disruption, at least before kind of the bigger second whammy. Is that – am I understanding the timeline correctly?
Ryan Hamlin: Yes. I am glad you are adopting my win close enough. What we had done, and part of it – the reason I want to call out in this script about the point-of-sale license agreement, that’s a really important event because we got that one cash upfront. Yes, we have the revenue recognition. But the cash is what’s really important to help us to be cash flow neutral. And so we had looked at – we knew this new cash would be coming in, in September, and we looked at where our expenses were and we said, okay, well, with that new cash coming in, what would we need to do to do a cash reduction of operations to be able to immediately get to a profitable state. And so we had started that whole exercise honestly as early as August, where we started to really look at it and then formalized it in September and then got Board approval and everything and then actually announced it to our team, for some of the members that were affected, on October 6th. So, yes, it was something we were already planning on doing because, again, it goes back to the whole being fiscally responsible and getting us to be cash flow neutral and positive going forward.
Unidentified Analyst: Yes. No, that all makes sense, and I think that’s great. And I guess I had this question before you gave that final kind of closing run rate comment, and thank you for that detail, too. But I guess what was the pre-disruption payment volume or revenue, gross profit level, whichever metric you want to focus on when you are saying you returned to kind of 75%?
Ryan Hamlin: Yes. So, our prior guidance was never – maybe this is a question to us, but it was $12.5 million to $14.5 million. And what I am trying to explain is that given our run rate and given what’s in the Q, that basically puts us back to the midpoint, I will do the math, $13.5 million, roughly for the year. So, what we are trying to do is just show that hey, we have recovered. And now as we exit, we are at that, basically puts us back in kind of the middle of where we had already stated our guidance for ‘23 was.
Unidentified Analyst: Right. Okay. And final point on that, and then I will give my line up here is so the 100 that you have in the pipeline that are going to be going live kind of by year-end time, that’s what takes you to kind of that midpoint run rate level, just – right?
Ryan Hamlin: Correct. That is correct. In fact, we should – yes, we will exit the year actually hopefully exceeding that. There is a significant number of merchants that – it’s just – you can imagine when you transition to a different payment offering, you have to be methodical and make sure you are training your new customers how to use different things. So, we have been going crazy onboarding, like literally 20-plus a day are coming live. It’s just – hopefully some of our team members are listening, because our team truly have been heroic and working extremely long hours and getting our merchants back up, which I am very much appreciative of.
Unidentified Analyst: Yes. No, it sounds like it, and I believe it. But look, I guess I mean, the quarterly results, there is a bit of a hiccup and they are a little bit messy, but it sounds like, from where I sit, you are going to be exiting the year as a much better company in a much stronger position with a full line of sight to a listing on an exchange that might get us an actual real price discovery and volume in the stock. So, this is a fantastic development. So, great job to all of you guys and looking forward to the next update.
Ryan Hamlin: Thanks. I appreciate it.
Operator: Thank you. Your next question is coming from Joshua Horowitz from Palm. Your line is live.
Joshua Horowitz: Thank you very much. Thank you, Ryan, for your transparency and resilience in managing the company through a tough period, and it looks like you have come out the other side pretty strong. We appreciate that.
Ryan Hamlin: Thanks Josh.
Joshua Horowitz: Question for you, maybe a little bit more color on just the sequencing as you see it as far as rescheduling the DEA, HHS, how that all works, if they have to sort of slip that all in by a certain time period before the end of the current presidential administration in order for it to stand the best chance of it not being reversed. I mean not asking for like any expert political analysis, but just from the company’s point of view, how do you look at that, because clearly, it’s a major catalyst for all of your customers and by extension, you guys.
Ryan Hamlin: Yes. No. Good question, Joshua. I was actually asked the same question yesterday by an analyst that I was talking with. And I am going to give an answer and then I am going to kind of explain a little bit about it. I mean when I said it to him, I said, this is not a lazy answer. This is just a realist answer that I have, having been in the space now for a long time, this is how I view it. I truly believe, unfortunately, I don’t think there is going to be any activity on this at least in the next 2 years. And I know there is a lot of people that are saying there will be movement prior to the presidential election. I don’t see it happening. And in fact, if you look at some of the most recent articles that have been written in the last seven days, there is very much the opinion of not only is the SAFER bill being extremely watered down, but that it’s losing its support on the Republican side of the House. And so – and when I say House, I don’t mean the House, I mean Republican side, in general. And then on the de-scheduling, I mean if you look at it, these things have to come out together. This is the thing I keep explaining to a lot of different people. A SAFER standalone or de-scheduling standalone really means nothing. The only impact will be when they come together. When they come together, then as we have shared with you, we are not fearful of that. We feel like we are in a really great position. We have multiple processors. We already have our credit capabilities approved and ready to turn on. So, we are ready for that. But just an honest answer that I feel convicted about is that I don’t see any – these two things happening before the presidential election. Then once you get to the presidential election, just again, to be candid, if a Republican – if the Republicans control two of the three, right, the House, Senate and the Presidency, you are probably not going to see any movement on this for potentially 4 years. So, at least two, until the next election comes up on the House. So, I think you are going to – in the summary, and I apologize for kind of the length here, but I don’t think it’s happening. I think the soonest it would happen is if the Democrats were to control potentially all three, House, Senate, the Presidency, then I think you could see something in that new presidential year. But otherwise, I think we are in it for a little longer here.
Joshua Horowitz: Interesting, I mean I have heard all sides of the story. I appreciate that. I have spoken to people that are way more bullish, I have spoken to people that share your opinion. So, barring any movement there, what do you see is happening in the next 12 months to 18 months to more rationalize the space insofar as the health of your customers? What economic factors should we be looking at? Is it just very state-specific? Is it more macro, because clearly, we need these businesses to be healthy for POSaBIT to do well?
Ryan Hamlin: Yes. Another good question. And I think the best way to answer the future is to look at the past. And we have – we are in our eighth year, soon to be in our ninth year, and I think what we have been able to prove is that through all of the changes that have happened, when we were a crypto company and then migrated and did banking, we have gone through a lot. The consistent theme, however, through those 8 years is we have continued to grow. In fact, we have grown at roughly doubling like we have always said, almost doubling every year. So, I am confident in our ability as a company to kind of take on whatever the future may hold because I am confident in our past and I guess the past is the best view of the future. And so I think that’s how I view it. And what I would share with all of our investors is look at what we have done. Don’t be scared of the unknown or the instability, a little bit, of this industry, I think you just have to look at, okay, how has the company performed and how has it responded in times of unknowns and like we had these last couple of months. So, yes, I am bullish on our growth. I am bullish on obviously getting us into profitability. Getting us on a bigger board is going to certainly help the stock itself. We are confident on that. So, I guess that’s – I guess my answer, Josh, is I think that’s what I would say to our investors. Look at the company, look at the past and evaluate us based on how we have done in the past because that’s how we are going to do it in the future.
Joshua Horowitz: Excellent. Thank you very much for that. Congrats.
Ryan Hamlin: Yes. Thanks.
Operator: Thank you. That completes our Q&A session. Everyone, this concludes today’s event. You may disconnect at this time and have a wonderful day. Thank you for your participation.